Operator: Good day everyone and thank you all for joining us to discuss Equity LifeStyle Properties Fourth Quarter and Full Year 2024 Results. Our featured speakers today are Marguerite Nader, our President and CEO; Paul Seavey, our Executive Vice President and CFO; and Patrick Waite, our Executive Vice President and COO. In advance of today's call, management released earnings. Today's call will consist of opening remarks and a question-and-answer session with management relating to the company's earnings release. For those who would like to participate in the question-and-answer session, management asks that you limit yourself to two questions so everyone that would like to participate has ample opportunity. As a reminder, this call is being recorded. Certain matters discussed during this conference call may contain forward-looking statements in the meaning of the Federal Securities Laws. Our forward-looking statements are subject to certain economic risks and uncertainty. The company assumes no obligation to update or supplement any statements that become untrue because of subsequent events. In addition, during today's call, we will discuss non-GAAP financial measures as defined by SEC Regulation G. Reconciliations of these non-GAAP financial measures to the comparable GAAP financial measures are included in our earnings release, our supplemental information and our historical SEC filings. At this time, I'd like to turn the call over to Marguerite Nader, our President and CEO.
Marguerite Nader: Good morning and thank you for joining us today. I am pleased to report the final results for 2024. The strength of ELS can be seen in all facets of our business. We continued our record of strong core operations and FFO growth with full year growth in NOI of 6.5% and a 5.9% increase in normalized FFO per share. Our year-end report is a good time to reflect on our business and our industry. Over the last 10 years, our average core NOI grew 5.3% and normalized FFO grew nearly 8%, both outpacing the REIT industry average over that time. Our balance sheet is in great shape with an average term to maturity of 9 years, 20% of our debt is fully amortizing and not subject to refinance risk and our debt maturity schedule through 2027 shows only 9% of our debt coming due compared to the REIT average of 36%. Last night, we issued initial guidance for 2025. Our guidance is built based on the operating environment of each property, including a robust market survey process and communication with our residents. The results showed strength in both top line revenue and NOI. Importantly, we have continued our focus on translating NOI growth into FFO growth. For the full year 2025, we anticipate normalized FFO growth of 5%. This strong growth rate is possible because of the strength of our properties as well as the overall industry landscape. The MH industry has evolved impressively over the last 20 years. The current homes that we are purchasing for our communities are generally 2 bedrooms, 2 bath homes with contemporary floor plans configurations. The homes are energy efficient with centerpiece kitchens and bathrooms. The changes to the homes over time have increased our prospective customer base and have strengthened our communities. Just like in any neighborhood in the U.S., we operate in an environment where the resale activity in our communities is important. We focus our efforts on maintaining our high-quality communities and the residents pride of ownership results in a robust home sale market for our existing customers. 97% of our occupancy is from residents who own their home. This high level of homeowner occupancy results in the impressive neighborhoods that our residents have helped us create. This year, we saw 9% of our residents sell their homes in our communities. The primary reasons our residents choose to sell their homes to another resident continues to be a life event. Within our RV footprint, we have nearly 70% of our revenue derived from annual customers. These customers stay with us in park models, resort cottages and RVs. Similar to our MH customer, our RV annual customer develops roots and considers our property as their second home. Our properties offer the chance to have a second home near major metros at an affordable price. The average price of a park model sold in our communities in 2024 was $80,000. We continue to expose new customers to our properties through the transient stay which is an important building block for our longer-term revenue stream. Next, I would like to update you on our 2025 dividend policy. The Board has approved setting the annual dividend rate of $2.06 per share, an 8% increase. The stability and growth of our cash flow, our solid balance sheet and the strong underlying trends in our business are the primary drivers of the decision to increase the dividend. In 2025, we expect to have approximately $100 million of discretionary capital after meeting our obligations for dividend payments, recurring CapEx and principal payments. Over the past 10 years, we have increased our dividend by an average of 11% per year compared to the REIT average of 4.5% and this year's dividend marks the 21st consecutive year of annual dividend growth. I want to thank our team members for closing out another successful year. We have been able to post REIT-leading NOI growth, provide details into the strength we see in 2025 and announce an increase to our dividend because of the hard work done in the field, regional and corporate offices by our 4,000 team members. I will now turn it over to Patrick to provide more details about property operations.
Patrick Waite: Thanks, Marguerite. In the more than 30 years since our IPO, we've made a deliberate effort to grow our portfolio in areas that provide a quality lifestyle for our customers. And those markets have experienced consistent population growth over the years. We have divested our properties in less promising markets and recycled that capital in the coastal and Sunbelt locations where our residents and guests want to live in vacation. Our 3 largest states are Florida, California and Arizona. And with our winter season in full swing, I thought it would be helpful to provide some detail about our operations in these markets. Our Sunbelt locations continue to see favorable population growth trends. Over the next 5 years, Florida, California and Arizona are expected to experience steady population growth, particularly among our focused demographic of those aged 55 plus. During that time frame, S&P Global estimates growth of 9.4% in Florida among this demographic, while California and Arizona are estimated at 6.4% and 6%, respectively. Both our MH and RV portfolios in these Sunbelt markets have benefited from consistent demand. The CAGR for MH and RV revenue in the primary markets within these states emphasizes the strength of our portfolio. Primary markets in Florida, our Tampa St. Pete on the Gulf Coast and Fort Lauderdale, West Palm Beach on the East Coast. In California, there are Northern California anchored by San Francisco and San Jose and Southern California anchored by Los Angeles and San Diego. And in Arizona, the primary market is Phoenix Mesa. In these core Sunbelt markets, the 5-year revenue CAGR for MH was nearly 6%, supported by 900 new home sales. Florida markets Tampa, St. Pete and Fort Lauderdale, West Palm Beach and Arizona markets, Phoenix Mesa led the growth with 6%, while Northern and Southern California was mid-4%, largely as a result of rent control. Note that our California portfolio is more than 98% occupied, while Florida and Arizona present opportunities to increase occupancy above our current occupancy of 95%, including ongoing expansion projects. For RV, the 5-year revenue CAGR in these primary markets was mid-6%, largely driven by the same submarkets in Florida and Arizona. A key driver of the consistent growth in both MH and RV and our primary submarkets, our population growth that I referenced earlier, as well as the expansion opportunities that will support future growth in these Florida and Arizona markets. Over the last 5 years, we developed nearly 5,000 MH, RV sites across the portfolio with over half of those sites in Florida and Arizona. Stabilized yields range from 7% to 10% and we have a pipeline of projects with an additional 3,000 sites in various stages of entitlement and construction. Two projects that are good examples of our approach to expansions are Colony Cove MH with 293 expansion sites in Florida and Monte Vista mixed-use MH-RV with 513 sites in Arizona. Both projects are development of parcels that are part of the property rather than acquisition of additional land. Expansions of properties present an attractive risk reward because we have an in-place operating business with staffing, amenities, name recognition and an established base of residents and guests. Among the benefits of our expansions are new leads generated through referrals from our core customers. Referrals represent approximately 20% of our new customers. Lease-up rates for the MH and annual RV expansions at these properties have been 30 to 40 sites per year. During the lease-up process, RV expansions also offer flexibility to book transient reservations on bacon sites to generate revenue as well as introducing new customers to the property which is our best source of conversions to longer-term stays. We continue to see consistent demand for our properties which supports the in-place business as well as our expansions. We have focused on stable, long-term occupancy and that results in annual revenue streams for MH and RV, representing nearly 75% of total property revenues. Demand is demonstrated by more than 100,000 new qualified leads we receive annually from potential customers who provide their contact information as part of their inquiry for manufactured home park model or RV annual site at one of our properties. I'll now turn it over to Paul.
Paul Seavey: Thanks, Patrick. Good morning, everyone. I will discuss our fourth quarter and full year results, review our guidance assumptions for 2025, including some key considerations for the first quarter and close with a discussion of our balance sheet. Fourth quarter normalized FFO was $0.76 per share, in line with our guidance. Growth in normalized FFO per share was 6.9% and 5.9% in the fourth quarter and year-to-date periods, respectively, compared to prior year. Strong core portfolio performance generated 7.6% NOI growth in the quarter and 6.5% year-to-date. Core community-based rental income increased 6.1% for the full year 2024 compared to 2023, primarily because of noticed increases to renewing residents and market rent paid by new residents after resident turnover. Rent growth from occupancy was 20 basis points and we increased homeowners 379 sites during the year. Full year core RV and marina annual base rental income which represents approximately 70% of total RV and marina based rental income increased 6.5% compared to prior year. Our full year core seasonal rent decreased 4.7% and transient decreased 4.3%. The net contribution from our membership business was $59.9 million in 2024. We sold approximately 19,500 Thousand Trails camping pass memberships and members purchased approximately 4,100 upgrades during 2024. Core utility and other income increased 7.2% for the full year compared to prior year which includes pass-through recovery of real estate tax increases from 2023. Full year 2024 property operating expenses increased 2.6% compared to the same period in 2023. Our income from property operations generated by our noncore portfolio was $5.4 million in the quarter and $16 million for the full year 2024. The press release and supplemental package provide an overview of 2025 first quarter and full year earnings guidance. The following remarks are intended to provide context for our current estimate of future results. All growth rate ranges and revenue and expense projections are qualified by the risk factors included in our press release and supplemental package. Our guidance for 2025 full year normalized FFO is $3.06 per share at the midpoint of our guidance range of $3.01 to $3.11. We project core property operating income growth of 4.9% at the midpoint of our range of 4.4% to 5.4%. We project the noncore properties will generate between $8.8 million and $12.8 million of NOI during 2025. Our property management and G&A expense guidance range is $120 million to $126 million. In the core portfolio, we project the following full year growth rate ranges, 3.4% to 4.4% for core revenues, 2% to 3% for core expenses and 4.4% to 5.4% for core NOI. Full year guidance assumes core MH rent growth in the range of 5.2% to 6.2%, with 10 basis points coming from occupancy. Full year guidance for combined RV and marina rent growth is 2.7% to 3.7%. And Annual RV and marina represents approximately 70% of the full year RV and marina rent and we expect 5.2% growth in rental income from annuals at the midpoint of our guidance range. Our first quarter guidance assumes normalized FFO per share in the range of $0.80 to $0.86 and that represents approximately 27% full year normalized FFO per share. Core property operating income growth is projected to be in the range of 3.6% to 4.2% for the first quarter. First quarter growth in MH rent is 5.8% at the midpoint of our guidance range. We project first quarter annual RV and marina rent growth to be approximately 3.8% at the midpoint of our guidance range. Our guidance assumes first quarter seasonal and transient RV revenues performed in line with our current reservation pacing. I'll now provide some comments on our balance sheet and the financing market. Our balance sheet is well positioned to execute on capital allocation opportunities. In addition to modest near-term maturities and a weighted average maturity for all debt of 8.6 years, our debt-to-EBITDAre is 4.5x and interest coverage is 5.2x. We have access to $1.2 billion of capital from our combined line of credit and ATM programs. We continue to place high importance on balance sheet flexibility and we believe we have multiple sources of capital available to us. Current secured debt terms vary depending on many factors, including lender, borrower sponsor and asset type and quality. Current 10-year loans are quoted between 5.75% and 6.25%, 50% to 75% loan-to-value and 1.4 to 1.6x debt service coverage. We continue to see solid interest from life companies and GSEs to lend for 10-year terms. High-quality, age-qualified MH assets continue to command best financing terms. Now we would like to open it up for questions.
Operator: [Operator Instructions] Our first question will come from the line of Eric Wolfe from Citi.
Eric Wolfe: I was just wondering if you could talk about your buildup to your expense guidance and what the key drivers are. It's a low number following some good expense controls in 2024. So...
Marguerite Nader: Eric, can you hear -- are you still with us?
Eric Wolfe: Yes, I'm here.
Marguerite Nader: Okay. Wonderful. Paul will walk through that.
Paul Seavey: Sure. Sure. So we've guided to expense growth to generally track the CPI with anticipated savings in a few line items. Our assumption for real estate taxes is in line with our past experience of mid-single-digit growth. We have assumed savings in certain line items, including administrative expenses and membership commissions. So that brings us to the guide for next year, Eric.
Eric Wolfe: Right. And then it looks like you're guiding to about a $4 million increase in other income and expenses. Some new line items, so maybe you could maybe confirm that. But I was just wondering what's causing that because I think you had a $5 million JV distribution in 2024 that won't repeat this year. So the actual increase might be more like $9 million on a core basis. Again, I'm not sure if that's right but let me know if that's right. And if so, what's causing that?
Paul Seavey: Yes. So the primary driver of the increase year-over-year, it is about $4 million, as you said. And the primary driver is our expectation for sales and ancillary activity. We do, periodically -- as I mentioned, when we were talking about the JV distribution that we recognized in the third quarter of 2024, we do, periodically, have those distributions and we do anticipate a similar distribution in the first quarter of '25.
Eric Wolfe: Got it. So about $5 million distribution in the first quarter?
Patrick Waite: Yes.
Operator: Our next question comes from the line of Michael Goldsmith from UBS.
Michael Goldsmith: First question is on transient RV -- transient seasonal RV. The guidance for the first quarter implies it's down 6% and then for the balance of the year, is about down 2%. Can you walk through kind of like your visibility to the softness in the first quarter? And then also what makes you a little bit more confident that trends improved through the balance of the year?
Paul Seavey: Sure. So Michael, as I mentioned in my remarks, we've used our current reservation pacing to put together our guidance for the first quarter. That's for both seasonal and transient. They're essentially tracking in line with our budget at this point for the quarter. I think Patrick can walk through some color by region.
Patrick Waite: Yes. And I'll highlight the seasonal component. Just as a reminder, roughly half of the seasonal revenue for the full year comes to us in the first quarter. And those seasonal customers are really rolling stock customers. They either drive down from the north to the Sunbelt or they fly down and they'll store their RV during the off-season or they'll drive it back up to their own destination up north. The -- some of the factors leading to the performance for the full Sunbelt season started in really Q4. I mean Q4, Q1 kind of bookend the Sunbelt season, starting late Q1. Just a reminder, the impact from the hurricanes led to a disruption of demand in Florida. And we also have experienced a lag in our Canadian business. It's partially driven by what we're hearing from our customers, some uncertainty around the presidential election that's now behind us.
Michael Goldsmith: Got it. And then my follow-up has to do with kind of the continuation of disruption from the hurricanes. Is there any more -- is there any sort of continued influence on the financials as a result of that? And in particular, home sales seemed like they were down pretty materially on a volume basis and also on a revenue per home basis. So maybe can you touch on a little bit on that?
Patrick Waite: Yes. And that was -- as you pointed out, the new home sales for the quarter were down a little over 30% year-over-year; that was significantly the result of disruptions from the hurricane. We also had a relatively mild start to the Sunbelt season that contributed to the decline. And we had some locations where we sold out of inventory, so expansions that were filled up. I consider the demand profile to still be very stable. And I'd highlight that a good year pre-COVID on new home sales would have been in the neighborhood of 500 to 600. And we've talked about it just over the last couple of years that there was peak demand through COVID and that's been normalizing. That's having an impact as well. We're just getting into a normal run rate for the MH business largely.
Marguerite Nader: And Michael, just another note in the first part of your question about Milton, all of our properties are operational and have been since right after the storm, effectively.
Michael Goldsmith: Got it. So it sounds like the home sales are -- like the home sales that fell out of the fourth quarter may not come back in 2025, just as kind of like continue -- as home sales continue to normalize, is that fair?
Patrick Waite: Yes, I guess that's right but I'd also highlight that some of the disruption from the hurricane can be something that comes back in the following weeks. It's just people who are shopping for a home when a hurricane comes through, that can delay their plans and the ultimate decision.
Operator: Our next question will come from the line of Jamie Feldman from Wells Fargo.
James Feldman: So your current guidance implies 4.8% base rental income growth for MH, RV and marina but your total core revenue growth guidance is 3.9%. So we're wondering, what's driving that delta, whether it's rental home income, slower demand for Thousand Trails or utility and other income?
Paul Seavey: I think it's -- I would point primarily to utility and other income. And the other income, one of the drivers in there is the timing of recognition of business interruption insurance proceeds from prior storms.
James Feldman: Okay. And as a follow-up, so your Thousand Trails membership count in '24 declined year-over-year. It's now lower than 2020 levels. While you've increased sites from 24,800 in 2020 to 26,000 in '24, how long until we see a re-inflection in RV demand either in revenue growth or more within the Thousand Trails portfolio?
Marguerite Nader: Yes. I think, Jamie, the absolute number of members has changed over the years. And if you look at the beginning of our ownership of Thousand Trails, we saw a decline in membership followed by growth. Then we saw a spike during COVID and now we're seeing some attrition with those members. But I think it's important to point out that over the last 5 years, the dues [ph] membership subscription revenue has increased an average of about over 5% and our focus is on growing that recurring stable revenue. So we'll continue to do that and focus on those line items within the Thousand Trails portfolio.
James Feldman: So I guess, if you don't mind me following up, I mean, if you just think about the next few years, I mean, do you think the market is looking at this wrong? Or maybe is there a better way we should all be thinking about this because there's so much focus on declining RV revenue and just usage levels?
Marguerite Nader: I guess I would think of it like this. I think if you look at the growth we've seen in our initial membership offering of camp passes has really been impressive in our subscription offering. In 2013, we were selling 4,600 passes. And last year, we sold almost 20,000. So I really -- I think that shows the demand for the product. It allows people to belong to a system where they can camp in many different locations. And I think the demand is very strong and will continue.
Operator: Next question will come from the line of Steve Sakwa from Evercore ISI.
Steve Sakwa: Just to kind of zero in on the RV and marine base rental income. I think you had said on the last call and you reiterated here that the annual increases were about 5.5% to 95% of those customers. But the midpoint of that annual number is like 5.2%, so it's a little bit below the 5.5% which would sort of imply maybe slower growth on the marina business. So could you maybe just talk about pricing on the Marinas and what you're seeing kind of for '25?
Patrick Waite: Yes. I mean the difference between the 5.5% on the guidance and the 5.2% for revenue is a lower starting occupancy point for 2025. And that's driven largely by higher attrition in RV annual guests for 2024. Typical attrition for our customers in the RV space is around 5%. I'll just reference a trend through COVID that, that number was lower through COVID as people were not moving around as much, had more time for leisure activities and spending some time with family and friends. And as schedules have normalized, that attrition has accelerated. It's accelerated above the kind of the historical norm because of the kind of the pent-up duration of some of the -- some of our RV annual customers. So as we've worked our way through that attrition, we ended up having a lower starting point for 2025.
Steve Sakwa: Patrick, can you just comment on where marina pricing is? Is it kind of in line with that 5.5% or...
Patrick Waite: Yes, yes. Yes, sure. Yes, it's in line with that. It's in line with the overall guide.
Steve Sakwa: Okay. And then maybe, Paul, just to go back to Eric's question initially on the expense guidance. There's been a lot of focus on insurance. And I also noticed that your R&M and your payroll were basically flat to down in '24. So could you maybe just speak to where you are on the insurance renewal? And what steps did you take to mitigate R&M and payroll? And as you think about labor in '25, how are you sort of thinking about labor?
Paul Seavey: Yes. Sure. I mean a couple of things. As it relates to insurance, we do have an expense growth assumption. We are in the process of our renewals, so we're not disclosing that. We don't make that guidance expectation public because we are in active negotiations. With respect to R&M, the year-over-year comparison that we had in '24, I've talked about this a few times during 2024, that we had a favorable comp to a difficult start to 2023. And so we see normalizing which is why I made reference to kind of CPI-type growth broadly across our expenses. And then I'd say the same applies to payroll as well.
Operator: Our next question comes from the line of John Kim from BMO Capital Markets.
John Kim: All the talk about deep sea kind of put the California wildfires in the back of our minds. But I just want to make sure that there was no impact on the wildfires to your operations. And as a follow-up to Steve's questions on insurance, I mean, do you think the wildfires and Hurricane Milton will have an impact on your insurance renewal this year?
Marguerite Nader: Sure. We have 11 properties in Southern California and -- but our properties were not impacted by any of the fires, thankfully. Where applicable, we worked with local fire departments and in many instances, our properties kind of provided staging areas for some of the fire trucks and emergency workers. And we're ready to accommodate any displaced residents and temporary workers as they rebuild the cities. So that's as it relates to California. As it relates to the insurance renewal, as Paul mentioned, it's too early to tell what the impact will be to rates for next year. Our claims are important and it's important what's happening in the global -- to the global level of claims. And I think it's too early to tell what happens outside of -- inside of the California claims.
John Kim: So just to clarify, your 2.5% expense guidance includes an assumption on the insurance renewal increase or ignores the impact of insurance?
Marguerite Nader: No, it includes an assumption. But as Paul said, we're in the middle of negotiations. And so we generally don't talk about what our assumptions are due to those negotiations. And we'll let everybody know on the next quarter call.
John Kim: Okay. And then Patrick talked a lot about expansion sites and the high returns and what you delivered last year was 736 which was in line with your guidance but below your 5-year average of over 1,000. Do you expect to get back to that 1,000 expansion site level this year? I know you mentioned last year, it was somewhat timing related.
Patrick Waite: Yes. It is timing related and also related to some longer time lines on getting projects from entitlements through completion. For 2025, I'd expect the number to be somewhere in the neighborhood of 400 to 600. We continue to develop that time line -- or that pipeline and I referenced it in my opening comments. I'd highlight that a significant portion of our expansion projects, roughly half are in Florida. If you think about the growth going on in Florida and then periodic impact from hurricanes, the level of entitlements permitting and activity that works its way through these county and city offices ends up creating some blockages, where it just -- it slows down the timing on our projects from start to finish.
John Kim: And what is that typical breakdown of expansions between MH and RV?
Patrick Waite: In 2024, it was roughly I think 60-40 to the side of RV. And I think that's going to come more into line leaning towards MH in coming years. We have a couple of larger projects that are going to be working their way through the pipeline.
Marguerite Nader: And John, as a reminder, about 85% of our excess land is on the RV footprint. So just to give you a sense of that.
Operator: Our next question comes from the line of Anthony Hau from Truist Securities.
Anthony Hau: Can you guys provide a little bit more color on why the guidance assumed lower noncore NOI than last year?
Paul Seavey: Sure, Anthony. So our guidance is $10.8 million at the midpoint for 2025. That compares to $16 million in '24, that's just over $5 million difference. There's a slight change from properties moving from noncore to core. Really, the remainder is the impact of timing associated with insurance recovery that we received in 2024 and assumptions for '25 NOI for certain of the noncore properties returning to stabilized operations.
Anthony Hau: Okay. So does it assume that all the properties that were affected by Hurricane Ian to be fully operational and stabilized by this year?
Paul Seavey: I -- that's a bold statement, I guess, fully stabilized but we're working to return them to stabilized operations. They do remain in noncore because they haven't yet reached that level.
Anthony Hau: Got you. And then what does the guidance assume for business interruption income in 2025? I think you guys collected around $10 million in 2024.
Paul Seavey: We did collect around $10 million in 2024. That number is essentially embedded in our assumption but is impacted by the timing of the return to normalized operations. So I don't really have a number to disclose because it toggles as we improve operations and generate NOI, then we receive less business interruption.
Operator: Our next question will come from the line of Wesley Golladay from Baird.
Wesley Golladay: I just want to go to the annual sites. It looks like you have about 34,000 -- just over 34,000 annual sites. And you did mention some attrition, just curious if there's any seasonality to the attrition? And did your guidance embed that number, I guess, increasing throughout the year or decreasing throughout the year?
Patrick Waite: Yes. I mean, I guess we go back to the earlier question and answer which is largely driven by attrition. Some of the contributing factors, Hurricanes Helene and Milton negatively impacted the business in Florida year-over-year. And we had a transition in Florida related to transitional workforce housing from Hurricane Ian. The attrition that I mentioned with respect to turnover was particularly present in North and Northeast that build through COVID and then a normalization. And as that slows back to normal levels, I would expect we'll continue to build the business as we had pre-COVID. But that's really the driver of those -- of that reduction has been turnover in the annual base.
Wesley Golladay: Okay. And then maybe going back to the Thousand Trails membership, I mean, could you maybe segment the different tiers of members? Maybe I'm looking at it -- the way I'm seeing it is maybe it sounds like you have your maybe higher paying tiers, the people that are more of the power users. That business seems to be stable. It may be growing and you may be churning some of the lower tire business or even the free business. Is that a good way to look at it?
Marguerite Nader: Yes. I think you can see on the -- in the supplemental that shows the reduction in the promotional membership originations. So you see some of that happening inside of the portfolio and that comes from just -- those are the RV dealer leads that we talk about and we've seen a reduction in those and a reduction in transient activity at the property which is how we sell the passes at the property level. And if there -- if the transient activity isn't -- if there isn't a lot of transient activity that impacts those lower line item initial memberships.
Operator: Our next question will come from line Omotayo Okusanya from Deutsche Bank.
Omotayo Okusanya: Just wanted to touch base on the membership again and just the sequential decrease in total memberships in 4Q. Again, obviously, the seasonality associated with that business but we just felt what it looks like the decrease was probably a little higher than we expected from just purely seasonality. Just kind of curious what those may have been going on during the quarter and if there are any implications for how total memberships may grow in 2025?
Marguerite Nader: Yes. Actually, it really is kind of the change in the member count is really the 2 things. I think I touched on a little bit just that reduced RV dealer member and then a reduction in transient activity reduced the overall number of camp pass sales. So those are the 2 drivers that we saw. And so as transient traffic picks up and as RV dealer memberships pick up and then the conversion of those RV dealer members to paid members, you'd see an increase in the member base.
Omotayo Okusanya: Okay, that's helpful. And then just in regards to base rental income growth both for the MH business and for the RV marina business, if you just kind of stick with more of the annual business, it does sound like expectations in '25 was a bit of a slowdown in that number. Could you just talk a little bit about, is that just kind of harder year-over-year comps? Is there anything kind of change in regards to demand? Is there -- it's harder to kind of push rents? Just trying to understand a little bit of kind of on the annual business itself, even that seems to be showing some -- a little bit of a slowdown in regards to baseline income growth in '25 versus '24?
Patrick Waite: Yes. I mean I guess I'll start with MH. And I just highlight that the rate growth that we're able to achieve, it's really driven and supported by the strength of our locations and just the fundamentals of that business. As I highlighted in my opening comments, we have some really strong demographic tailwinds that are going to work their way through not only the baby boomers but successive aging cohorts in the U.S. So that's a -- we're in a very good spot with respect to long-term demand. And I'd highlight the rate increases that we're achieving now reflect a favorable spread to CPI and that's been a strong relationship for us over our history.
Omotayo Okusanya: But specifically, as it pertains to the slowdown in '25 versus '24, anything you can really point to there? Is it just less occupancy gains in '25 versus '24? Or like -- just kind of curious about specifically, why kind of like the 50, 100 basis points slowdown.
Paul Seavey: I think, Tayo, if you keep in mind the composition of the MH rents, I think all the demand points that Patrick made are absolutely true and we do continue to see increases on resident turnover to market that are 13%. But when you look at the composition of the leases, we do have a portion that are tied to CPI. And CPI is lower in '24 which drives the '25 increase than it was in '23 which drove the '24 increase.
Operator: Next question will come from the line of David Segall from Green Street Advisors.
David Segall: I just want to clarify a bit on the annual RV churn. Are you assuming that the churn levels for '25 are back to that historical 5% level?
Paul Seavey: We -- yes, we're projecting that we're going to run the business in a way that's consistent with our history. The -- as I mentioned, there were a couple of different impacts. Certainly, the attrition is part of it and that's normalizing as our other components of our business. But we also had some disruptions associated with hurricanes just in the ordinary course as well as a transition over the last couple of years on transitional workforce housing in Florida.
David Segall: Great. And with regards to the transient and seasonal expectations over the balance of the year, the guidance seems to imply an improvement from -- for 2Q and beyond versus 1Q. And I'm just curious if you can help us understand the breakout of how much of that is attributable to an easier comp period versus improvements in underlying demand.
Paul Seavey: Yes. I think, David, it goes to our process, essentially. And so when we put together our budget and then we update our forecast on a quarterly basis for seasonal and transient, we think about, first of all, the amount that we earn. The first quarter, we earn about 50% of our anticipated full year seasonal and almost 20% of our full year transient. And then it starts to shift and we earn more transient than seasonal such that by the end of the third quarter, we're at 85% of our transient rent earned. But what we're talking about when we talk about that business is a business that has a short booking window and so we don't have a significant amount of visibility. So the presentation of information as we head into each quarter is based on the reservation pacing that we see for that period. And then beyond that, we're using a flat to up slightly assumption for the revenues because we just don't have better visibility into the variables such as weather that drive those components of the business.
Operator: And since we have no more questions on the line, at this time, I would like to turn it back over to Marguerite Nader for closing comments.
Marguerite Nader: Thank you very much for your participation in today's call. We look forward to providing updates for you next quarter. Take care.